Operator: Good afternoon and welcome to the Equinix Conference Call. All lines will be able to listen-only until we open for questions. Today's conference is being recorded. If anyone has any objections, you may disconnect at this time. I'd now like to turn the call over to Katrina Rymill, Vice President of Investor Relations. Thank you. You may begin.
Katrina Rymill - Vice President-Investor Relations: Thank you. Good afternoon, and welcome to today's conference call. Before we get started, I'd like to remind everyone that some of the statements we'll be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks we identified in today's press release and those identified in our filings with the SEC, including our most recent Form 10-K filed on February 28, 2014, and Form 10-Q filed on November 7, 2014. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it's Equinix's policy not to comment on its financial guidance during the quarter, unless it is done through an explicit public disclosure. In addition, we'll provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why the company uses these measures in today's press release on the Equinix's Investor Relations page at www.equinix.com. We would also like to remind you that we post important information about Equinix on the Investor Relations page of our website. We encourage you to check our website regularly for the most current available information. With us today are Steve Smith, Equinix's CEO and President; Keith Taylor, Chief Financial Officer; and Charles Meyers, Chief Operating Officer. Following our prepared remarks, we'll be taking questions from sell-side analysts. In the interest of wrapping this call up in an hour, we'd like to ask you, the analysts, to limit any follow-on questions to just one. At this time, I'll turn the call over to Steve.
Stephen M. Smith - President, Chief Executive Officer & Director: Thank you, Katrina. Good afternoon and welcome to our fourth quarter earnings call. Before we walk through the results of the quarter, I'd like to reflect on the milestones that we achieved in 2014. To start, turning to slide three, we leveraged significant market momentum to deliver another strong year of financial results generating $2.44 billion of revenue, up 14% year-over-year and over $1.1 billion of adjusted EBITDA or 46% margin, and growing AFFO 12% to $762 million. Second, we established Equinix as the home of the interconnected cloud by partnering with an all start list of cloud providers including AWS, Cisco, Google, IBM, and Microsoft, and won business from a host of enterprises, who are taking advantage of their presence to implement hybrid cloud architectures at Equinix. We have continued to innovate and enhance our offer set to help transform enterprise IT launching two new solutions in 2014, Performance Hub and Cloud Exchange. The traction we are seeing is very compelling, as hundreds of customers are now using these solutions to improve network and enterprise application performance as well as accelerate cloud adoption. Third, we expanded our global platform completing 10 major IBX expansions in 2014, including projects in Amsterdam, Dallas, Sao Paulo, Singapore, Sydney, and Tokyo. We are successfully creating value over the long-term through our development pipeline achieving attractive returns and healthy yield on stabilized assets with our premium value proposition. Given the market strength, we are continuing to grow our presence in core markets. And in the first half of this year, we are opening five new IBXs in the financial and network hubs of London, New York, Singapore, Toronto, as well as a new metro in Melbourne, Australia. Fourth, we extended our position as the global interconnection leader. With interconnection revenue continuing to outpace overall revenue, growing 16% year-over-year and further demonstrating the strength of our ecosystems. Customers interconnecting across Platform Equinix resulted in 18,500 new cross-connects in 2014 with a notable uptick in the latter half of the year, driven by strong growth to networks and acceleration in private connections to the cloud. Our digital exchanges also saw a sizable increase in both traffic and sales, adding approximately 600 ports in 2014, about 2.5 times more adds than the prior year. And finally, we successfully began operating as a REIT on January 1 and are very pleased to announce our first quarterly dividend program. We continue to strengthen our balance sheet, including raising and refinancing our high-yield notes and senior debt in the fourth quarter, and feel very good about our liquidity position and capital structure. This strategic and operational flexibility will allow for continued re-investment in our business and new market development along with distributions to our shareholders on a quarterly basis. As we enter 2015, we see continued momentum in our core business and are well positioned to execute on emerging growth opportunities by expanding our routes to market and further enhancing our solutions portfolio. As the applications become increasingly interactive, solving complex interconnection scenarios is mission critical for today's business. We believe our global scale, as well as our network and power density puts us in a unique position to solve these challenges. Today, we have over 4,800 customers and expect to significantly expand our customer base over the next several years as Platform Equinix becomes increasingly relevant to a large universe of buyers. Now turning to the quarter; we deliver record gross and net bookings driven by strong performance across all three regions, solid new customer additions, and continued expansion of our cloud ecosystems. An increasing global deployment and accelerated interconnection growth are helping contribute to firm yield and reduce churn. We continue to see customers expand their geographic with Platform Equinix, and today, 67% of recurring revenues come from customers deployed across multiple regions up from 63% last year and 81% of recurring revenues come from customer deployed across multiple metros, up from 79% last year. Now let me show the highlights of our industry vertical performance this past quarter. Our network vertical delivered steady growth as wireline carriers upgrade core node infrastructure to support exponential traffic growth in new services. And several of our non-strategic customers began to bundle Equinix into their custom enterprise solutions. Network interconnection also experienced strong growth as both connections to and from our network customers grew more than 20% year-over-year. Emerging demand for mobile platforms is generating new business and wins in this vertical include EE, the UK's largest 4G operator, and Truphone, a global mobile network operator. Content and digital media delivered a record quarter with healthy demand from large content players and rapid growth in our advertising sub-segment, which is gaining traction as real-time ad placement becomes a cornerstone of the company's advertising strategy. Cloud adoption is on the rise among content and digital media companies as they leverage the scaling advantages offered by cloud and seek the low latency required to deliver the highest quality user experience. For example, global publishing company HarperCollins recently chose to connect to Microsoft Azure through the Equinix Cloud Exchange inside our London IBX, in order to achieve guaranteed levels of security and latency with improved operational resilience and flexibility. Turning to financial services, we saw steady growth and continued progress in diversifying our financial services business across insurance, retail banking, and digital payments and processing. Our five largest financial deals of the quarter came from these sectors, including a top 15 global retail bank, a top five global insurance firm, and the third largest global payments and analytics provider. Electronic payments in particular is an area, where we have been increasingly focused and we see potential for a digital commerce ecosystem to emerge spanning multiple industries. We have captured over 50 customers in the digital commerce space, including Adyen, a global payments technology provider, leveraging Equinix's network density and cloud connectivity to enable global payments for merchants from anywhere in the world. Turning to our cloud and enterprise verticals, the enterprise shift from centralized in-house IT infrastructure to distributed hybrid and public cloud architectures is driving an incremental and transformational opportunity that we expect to be Equinix's top growth vector over the next several years. In the fourth quarter, cloud and IT services again delivered record bookings. And we now have over 1,250 cloud and IT service companies driving 27% of our revenue. Expansions on AWS, Oracle, Microsoft, and T-Systems drove strong momentum in the quarter and we saw an uptick in larger footprint deals as the size of deployments for public and private cloud access nodes have expanded given the rapid growth in this market. Cloud service providers continue to choose Platform Equinix to support rapid global deployment, cutting edge application performance and unmatched reliability. The Equinix Cloud Exchange, our intelligent switching platform that enables companies to connect directly and securely to multiple cloud and network providers continues to scale and is now live in 19 markets globally. Over 100 companies, enterprises, networks and cloud service providers have joined the Equinix Cloud Exchange and new wins include Google, IBM Software, Fusion Apps as well as PacNet, Tata, and Telecom Italia. Google and IBM Software are two important platform wins that enhance the value and diversity of our cloud ecosystem. Equinix will offer high-performance direct access to Google Cloud platform in 15 markets and to the IBM Software platform in 9 markets this year. On the enterprise side, as leading companies around the globe operate increasingly interconnected and on demand business models, we're experiencing significant momentum in the enterprise market. Over 100 customers have deployed Performance Hub, our targeted solution that allows customers to deploy IT resources closer to user population and provide secure high-bandwidth connectivity to a variety of networks in cloud. This distributed interconnection based approach to data center computing provides significant benefits in both application and network performance. Enterprise wins include General Electric, as well as GP Strategies, a management consulting and engineering services firm, and Metso, a leading process provider for mining and oil and gas. So let me stop here and turn the call over to Keith to provide some deeper results – deeper details on the results for the quarter.
Keith D. Taylor - Chief Financial Officer: Great. Thanks, Steve. And good afternoon to everyone. To start, I'd like to first review some of our 2014 highlights, and then I'll turn to our fourth quarter performance. We reported revenues of $2.44 billion representing an almost 14% year-over-year growth rate. All three regions delivered better than expectations, with EMEA and Asia-Pacific show reported growth of 21% and 19% respectively, while the Americas region produced greater than expected growth of 9% on its much larger base. We continue to balance margin expectations with the reinvestment in the business to drive our future growth. Our gross profit margin was 51% and our adjusted EBITDA margin was 46% after taking into consideration significant investment and expansion activities across the regions, as well as directing approximately $30 million in operating expenses to fund new product innovations, such as Cloud Exchange and Performance Hub. Also in 2014, we continued to scale our go-to-market efforts to better position ourselves to attract the enterprise customer. Despite these investments, our margins remain stable and we continue to target a longer-term objective of achieving 50% adjusted EBITDA margins or better. We continue to focus on the balance sheet and finding ways to optimize our capital structure. During the fourth quarter, we refreshed our debt structure and secured $2.75 billion of new financings. This puts us in a great position to fund both our existing and new initiatives, invest in the development pipeline, and fund our quarterly dividend. So, let me now turn to slide four. As I'd like to highlight how we allocated the resources in 2014. First, we generated approximately $709 million in adjusted cash from operations, and then reinvested $660 million of this cash into development and other projects that have consistently high levels of return, including our newly opened Melbourne and Singapore IBXs. We now have 103 data centers across 33 markets, the largest global retail data center footprint in the world. We purchased the remaining shares of ALOG in Brazil, and now own 100% of this important South American asset. Also we continue to increase the number of assets owned and developed with the purchase of land for our current and our future Melbourne IBXs. And finally, we repurchased $298 million of Equinix stock in 2014 and completed $416 million special distribution for stockholders, which included $83 million in cash. Returning to the fourth quarter, simply put, it was another outstanding quarter for the Equinix team. Our strategy continues to deliver better-than-expected results across the company. At the global level, we had record gross and net bookings, and our quarterly key metrics remain solid including MRR per cabinet especially on an FX neutral basis and net cabinets billing. Also our interconnection metrics were again outstanding as we added 5,600 net cross-connects, and 130 exchange ports this quarter alone. As depicted on slide five, global Q4 revenues were $638.1 million, our 48th consecutive quarter of top line revenue growth, up 3% quarter-over-quarter and up 13% over the same quarter last year. Our over performance was due to higher gross bookings, lower than planned MRR churn, and continued custom sales order activity. Our Q4 revenue performance net of our FX hedges absorbs an $8.5 million negative currency impact when compared to the average rates used last quarter, and a $1 million negative currency impact when compared to our FX guidance rates. Currency volatility against all of our operating currencies continues to cause significant FX headwinds this quarter and meaningfully affected our 2015 guidance. Our largest exposure to FX movement related to the weakening of the Brazilian real, the British pound, and the euro. For 2015, we have layered in new hedges approximating 80% coverage against our EMEA operating currencies for the full year. Besides the negative FX impact on our 2015 guidance, the strengthening of the U.S. dollar has created a $100 million FX headwind against revenues and a $47 million headwind against our adjusted EBITDA. Cash SG&A expenses increased to $147.8 million for the quarter, higher than guidance primarily due to a December change in our commission practices, where our sales reps will now earn their sales commissions when their order is booked versus when the order is billed. This change was made to better align our comp practices with the market and to enable us to better track these costs as we measure our business performance. As a result, we accelerated on a one-time basis $7 million of sales commission cost into the fourth quarter. This was not included in our prior guidance. Global adjusted EBITDA was $294.4 million, at the top end of our guidance range and up 12% year-over-year. Our adjusted EBITDA margin was 46%. Our Q4 adjusted EBITDA performance, net of our FX hedges, reflects a negative $1.1 million currency impact when compared to the average rates used last quarter and a $3.4 million net positive impact when compared to the FX guidance rates. In the fourth quarter, we reported a net loss of $355.1 million. Consistent with our comments from the last earnings call, a large portion of this loss relates to write-off of deferred tax assets totaling $324 million as we formalized our conversion to a REIT. Also we recorded a $106 million loss on debt extinguishment related to our refinancing efforts. Our Q4 operating cash flow decreased slightly over the prior quarter to $202.3 million, largely due to increased cash interest and taxes paid. Also our DSOs improved two days to 37 days. Our AFFO for the year was $761.7 million, higher than our expectations mainly due to lower than expected recurring CapEx and cash taxes. MRR churn was better than anticipated at 1.9%, the second quarter in a row where we are below the 2% threshold and we believe reflects some level of stabilization of this key metric. For the full year 2015, we expect our MRR churn rate to range between 2% and 2.5% per quarter, although we do expect the average to be at the lower-end of this range. Now moving on to our comments on REIT; well, we've officially began operating as a REIT as of January 1, 2015, which is a significant and exciting milestone for the company. That said, to give you a perspective on how we've structured our REIT assets, we placed the majority of our U.S. and European assets along with our Japanese assets under the qualified REIT structure or QRS, with the rest of Asia, Brazil and Canada placed in our TRS or taxable REIT structure. This is important to note as the taxable income from our QRS business is what drives our dividend payout requirements. In addition, while we don't yet have our PLR in hand, we continue to expect to receive a favorable PLR in 2015. On slide six, we summarize our expected REIT related cash cost and taxes. We expect our second special distribution to range between $580 million and $680 million and to be paid in Q4 of 2015. Our REIT-related cash cost should approximate $12 million in 2015 including $2 million of one-time costs to finalize the REIT structure. And finally we expect our effective worldwide tax rate excluding REIT-related cash taxes to range between 10% and 15% in 2015, although this range may narrow as we continue to review our tax operating structure. Turning to slide seven, I'd like to start reviewing the regional results beginning with the Americas. The Americas had a strong quarter, delivering its second highest gross bookings activity with record cross-connect addition. These results clearly show the benefits from our core strategy. The Americas revenues increased 4% over the prior quarter and 10% over the same quarter last year on a normalized and constant currency basis. Americas adjusted EBITDA was up 5% over the prior quarter and 6% year-over-year on a normalized and constant currency basis. Americas adjusted EBITDA margin was 47% for the quarter, a step-up over the prior quarter due to lower seasonal utility expenses. In 2015, we expect to spend approximately $7 million to integrate our ALOG business. Americas net cabinets billing increased by 500 in the quarter, lower than last quarter, largely due to timing of installations. We added a record 3,500 net cross-connects and 95 exchange ports in Q4, highlighting the strong demand for our Americas digital exchanges. With respect to the region's new builds, we're expanding our Dallas 2 IBX in the Infomart, which is the primary interconnection building in the Dallas market. Now, looking at EMEA, please turn to slide eight. EMEA delivered a strong quarter with record gross bookings with particular strength coming from our Dutch and German businesses. Revenues were up 6% quarter-over-quarter – pardon me, and 17% year-over-year on a normalized and constant currency basis. Our EMEA business continues to capture market share, growing twice as fast as our regional competitors. Also, we would like to highlight the improved German performance throughout the year, the result of new leadership, better execution, and renewed focus across our German team. Adjusted EBITDA on a normalized and constant currency basis was up 1% over the prior quarter and up 18% over the same quarter last year. Adjusted EBITDA margin decreased slightly to 42% due to one-off cost in the fourth quarter. EMEA interconnection revenues increased 2% over the prior quarter and up 29% over the same quarter last year and represents 9% of the region's recurring revenues. We added 1,200 net cross-connects in the quarter and EMEA MRR per cabinet was up 2% on a constant currency basis. Net cabinets billing increased by approximately 600. Moving to expansion opportunities, the Frankfurt market has performed very well in 2014 and we've seen a substantial increase in our fill rate compared to the prior year. To support this demand, we're expanding both our Frankfurt II and our Frankfurt IV IBXs. We're also accelerating the third phase of our Amsterdam-3 asset to respond to sales momentum in the Dutch business. Located on the Amsterdam Science Park, this is the second most cloud dense location in Europe and an important interconnection hub for our customers. And now looking at Asia Pacific, please refer to slide nine. Asia Pacific revenues were up 7% over the prior quarter and 29% over the same quarter last year on a normalized and constant currency basis driven by record gross bookings in the cloud and IT services and network segment. Adjusted EBITDA on normalized and constant currency basis was up 9% over the last quarter and 34% over the same quarter last year. MRR per cabinet on a constant currency basis went up 3% quarter-over-quarter largely due to increased power density and a steady increase in interconnection revenues. Also, cabinets billing increased by 700 over the prior quarter. We added 900 net cross-connects and interconnection revenues remain at 12% of the region's recurring revenues. In December, we opened our first data center in Melbourne, Australia expanding Platform Equinix to 33 markets. The Melbourne business already logged more than 40 new customers including our 11 network service providers. We're also expanding into Hong Kong market with new phases in both Hong Kong I and Hong Kong II IBXs to support deployments from the digital, media and financial verticals. And now looking at our balance sheet, please refer to slide 10. Fourth quarter was very active from a capital structure perspective. We settled our 2014 converts, we completed two new debt deals securing $2.75 billion in fundings. We used the proceeds from these offerings to redeem our 7% senior notes, did all the make whole payment and repay our prior term loan. These transactions effectively lowered the average cost of our debt financings to 4.93%. We ended the quarter with over $1.1 billion of cash and the net debt leverage ratio decreased slightly to three times our Q4 annualized adjusted EBITDA. Now switching to AFFO and our dividend outlook for – on slide 11. For 2015, we expect the AFFO to be greater than $810 million or growing 12% on a constant currency basis. This guidance absorbs $43 million in negative FX headwinds, as well as an incremental $27 million in interest expense related to our November financing. Also today, we're excited to announce our first quarterly dividend of $1.69 per share, a very important milestone for Equinix. We expect to pay out 100% of our QRS's taxable income. Our current AFFO payout ratio approximates 48%, the result of significant international assets still structured under our TRS as well as significant tax depreciation and stock based compensation expenses. For 2015 and beyond, we'll continue to review our QRS, TRS REIT structure. It's important to note that our goal is to maximize total shareholder return. This is facilitated by our flexibility to support a growing cash dividend, as we continue to scale our business and more of our assets move into the QRS structure, while continuing to invest in our development activities. Turning to slide 12, given the cash on the balance sheet add to that our growing cash flows plus our debt capacity we are well positioned to fund our 2015 development activities, pay our quarterly dividends including the 2015 special distribution and service our debt obligations. As a REIT, our target net debt to adjusted EBITDA ratio will remain at 3 times to 4 times. This level of debt provides us the strategic and operational flexibility, we need to execute against our business needs. Now looking at capital expenditures, please refer to slide 13. For the quarter, cap expenditures were $238.5 million including recurring CapEx of $33 million in line with our guidance. We currently have 16 announced expansion projects underway across the globe of which 15 are campus builds or incremental phase build. Also note we have finalized the breakout of CapEx between recurring and non-recurring for our AFFO definition. This is the format we'll be reporting on, on a go forward basis. Turning to slide 14, the operating performance of our stabilized 69 global IBX and expansion projects that have been open for more than one year continue to perform well with revenues up 6% on a year-over-year basis. Currently, these projects generate a 32% cash on cash return on the gross PP&E invested and are 82% utilized. And lastly one final point, as part of the REIT conversion, we'll continue to rollout incremental financial data to enable our investors to sit back and analyze the business. This quarter, we added a supplemental section to our earnings deck, which now includes our non-financial metrics and expansion sheet, as well as some additional disclosure. Starting in Q1, we expect to add additional materials to this earnings deck, including the components of NAV and NOI. So let me stop there and turn it back to Steve.
Stephen M. Smith - President, Chief Executive Officer & Director: Okay, Keith, thanks. Let me now cover our 2015 strategy and outlook on slide 15. Our focus in 2015 is driven by three strategic priorities, designed to further differentiate our global data center services and extend Platform Equinix. First, we will continue to drive differentiated growth by deepening our existing ecosystems and applying particular focus on capturing the expanded opportunity in cloud and enterprise. With both network and power density that is unparalleled, we aim to become the provider of choice for the new age of enterprise IT. We will continue to invest meaningfully in innovation to deliver enhanced offers for multi-cloud consumption and build-out our cloud service provider ecosystems, anchored by cloud technology leaders. Second, to tackle these opportunities effectively, we will also invest in our go-to-market and our global platform to broaden our reach, scale, scale our organization and deliver premium customer services. We will do this by expanding our channel program to enhance our reach into the enterprise through agents, resellers, systems integrators, and key platform partners such as Microsoft, NetApp, and Cisco, working in tandem with our direct sales engine. Additionally, we're delivering on our commitment to build a professional services practice that aids enterprises in designing and deploying next-generation architectures, starting with our acquisition of Nimbo, an established market leader in enabling hybrid cloud. In parallel, we're expanding our sales support and enablement functions including our solution architects and sales engineers that facilitate the selling process. To support these efforts and the growth of our sales engine, we're driving global consistency and alignment through our Equinix Customer One program. This initiative is enhancing our customers' experience through global standardization of our products and streamlining our quote to cash process. We successfully rolled this out in Asia in the fourth quarter and will implement the EMEA and Americas regions by mid-2015. And finally, we will continue to refine our capital allocation strategy of profitable growth through organic and inorganic investments and the distribution of dividends, while driving return on invested capital. We continue to ensure that our expansion CapEx supports our growth objectives and optimizes capital outlays, while balancing project risk and customer needs. Equinix has a long history of achieving attractive returns in the development of new properties. This is done by building campuses that can be extended with additional premium priced space connected to our mature datacenters where interconnected communities of customers have already been established. The vast majority of our new development is in existing markets and our unique market intelligence gained from working with customers, gives us visibility into a market's demand, pricing and returns. This knowledge helps us make prudent capital allocation decisions and enables us to maintain highly differentiated project returns. Last I'll cover our outlook for 2015 on slide 16 to slide 19. For the first quarter of 2015, we expect revenues to be in the range of $634 million to $638 million, which absorbs $19 million of negative foreign currency impact compared to Q4, 2014 average FX rates and normalized and constant currency growth of 3% quarter-over-quarter. Cash gross margins are expected to approximate 68% to 69%. Cash SG&A expenses are expected to approximate $146 million to $150 million. Adjusted EBITDA is expected to be between $287 million and $291 million, which includes $12 million of negative foreign currency impact compared to Q4 2014 average FX rates and normalizing constant currency growth of 3% quarter-over-quarter. Capital expenditures are expected to be $195 million to $205 million, which includes approximately $25 million of recurring capital expenditures. For the full year of 2015, we expect revenues to be greater than $2.63 billion, which absorbs $100 million of negative foreign currency impact compared to 2014 average FX rate, reflecting a normalized and constant currency growth of 12%. Full year cash gross margins are expected to range between 68% and 69%. Cash SG&A expenses are expected to approximate $580 million to $600 million. We expect adjusted EBITDA to be greater than $1.22 billion or a 46% EBITDA margin, an 80 basis point improvement over the last year. This guidance absorbs $47 million of negative foreign currency impact compared to 2014 average FX rates. We expect adjusted funds from operations to be greater than $810 million, a 12% constant currency growth year-over-year. And finally, we expect capital expenditures to range between $700 million and $800 million, which includes $115 million of recurring capital expenditures. For 2015, we expect 95% of this expansion capital expenditure will be for campus and existing market build, and roughly 5% for new market development. So in closing, we are leveraging our leadership position to build unique customer offers and enhance our ecosystems while scaling the business globally. We're successfully expanding our ecosystem of cloud services, which coupled with our network density will drive growth across our entire platform. The rapid growth of interconnection reflects the importance of Equinix as the place where leading companies come to connect their customers and partners to accelerate the growth of their business. I'm very pleased with our position going into this year and look forward to continued progress against our objectives. So let me stop here and open it up for questions. Liz, I'll turn it back over to you.
Operator: Thank you. We'll now open for questions. Our first question comes from David Barden with Bank of America. Your line is open.
David W. Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the questions. I guess, if I could just three quick ones, first, Keith, could you talk about the difference in the rate of I guess taxable income or AFFO growth whichever one you think is more relevant for the QRS and the TRS, so that we can understand what the growth possibilities for the dividend are as they're propelled by the results of the QRS itself. I guess the second question is for you, Steve, which would be could you kind of elaborate on your appetite for a large scale consolidating European transaction and if so give us details on that? And then the third question I guess is the obvious one which is – a year ago we heard that the PLR was coming in 2014, now we're hearing in 2015 – that it's coming in 2015. The question I get 10 times more often than any other fundamental question is, what possible reason could there be that you don't have it already, you've paid a lot of people a lot of money to help you in this process, they must be telling you something, could you please tell us what it is? Thanks.
Keith D. Taylor - Chief Financial Officer: Okay, well, I will start first and foremost with the – sort of the AFFO and really talk a little bit about the REIT structure, and just having it from the – in the prepared remarks, and you think about the QRS, it has majority, it has the American business, which is as you know, as I reported, our slowest growing business albeit on a very large base. So, our European business on a currency adjusted basis is our second fastest-growing and then the Japanese business those are all sitting in the queue. What's not sitting in the queue is the rest of our Asian business, and no surprise to you that is Hong Kong, that's Australia, that's Singapore. And so, when you look at – sorry, and there is Canada and Brazil. Brazil, because it's a managed services business, you can appreciate it. It doesn't have the revenue type that's fully suitable for REIT, and so think of Brazil as staying inside the T on a continuous basis. For the remaining assets, you can get a good sense, if you think about Singapore, you think about Australia, you think about us opening up our Toronto 2 asset in Canada. You're going to have a lot of growth still coming from inside the T. And, over time, the reason that we – the reason that we're structured today as is we're trying to do it tax efficiently, but we also have to meet the REIT compliance test in 2015 with it being a conversion year, we have to be very thoughtful about what assets you move in over what period of time. All that is to say, when you look at the Q, or you look at the T, these both have very good growth potential. And, over time, not only growth in the overall business, but certainly as we move assets from the T into the Q that will give you the opportunity to get growth on the dividend.
Stephen M. Smith - President, Chief Executive Officer & Director: Okay, let me take the second one, David. I guess I'd start with reminding the audience on the phone that our priorities for inorganic growth really around three areas. One, scaling our platform globally, very similar to what we did in Brazil and Dubai for example, entering those new markets over the last 18 months to 24 months. That's still of high interest to growing our platform globally. I guess the second component might be our continued focus on enhancing our interconnection and growing that platform very similar to what we did in Germany with the ancotel acquisition. So I would tell you that we look for those kinds of plays constantly. And then, third, certainly, grown over the last couple years is capturing the cloud ecosystem and enhancing the enterprise capabilities to connect to the cloud ecosystem and the acquisition of Nimbo is professional services capability that's aimed at enterprise hybrid cloud enablement is a step in that direction to accelerate our ability to prosecute the cloud business. So, we look at a lot of things as you well know, the new markets include big, big regions like South Korea and India, and going deeper into China and going deeper into Latin America. So, we're looking at lots of regions of the world, South Africa is of interest to us. So, we've been pretty consistent on the places that scaling the platform are of interest to us. Europe is still obviously a very interesting marketplace for us. I wouldn't want to comment specifically on anything that we're all reading about here recently. With respect to our European business, we're very pleased with where we are with that business, and as Keith mentioned, it grew 21% year-on-year. It's growing substantially faster because of the inbound bookings we pushed into that region from the other two regions, interconnection growth grew 30% year-on-year. So, it's doing very, very well. Our focus here is to continue to grow that business as it is today and we'll continue to compete with the regional players in all parts of the world. We think we've done that very successfully. Our mantra is to continue on this global platform focus. So, I don't know if anybody would add anything there, Charles or Keith, on the European question? On the PLR, top of everybody's mind, I think given our position on our first quarterly dividend, David, I guess all I can tell you is that we're still highly confident that we're going to get a response here in 2015 and that's based on the existing legal precedence that's out there today, the fact that many other data center companies are currently operating as REITs. So, we believe, we qualify for taxation as a REIT. Unfortunately, it's out of our hands right now. The ball is in the IRS's court. We've provided them everything that they need, and you have to remember here also that the previous couple of players that went through this process, I think, Iron Mountain and Lamar, and I forget a couple others, actually all received their – a couple of those guys received their PLRs post conversion. So, these conditions that we're living in today are not terribly unusual. I think everybody is frustrated about it but we still remain highly confident that we'll get a positive response here in 2015.
David W. Barden - Bank of America Merrill Lynch: All right, guys. Thank you very much.
Operator: Our next question comes from Jonathan Schildkraut from Evercore. Your line is open.
Jonathan Schildkraut - Evercore Partners, Inc. (Broker): Hi. Thanks for taking the questions. I guess, I'd like to ask a question about the investment into the professional services organization, maybe two elements to that. One, could you give us an example of the advice, the problem solution that you're providing to your customers through that organization? And then secondly as we think about that business becoming more important to Equinix over time, are there any margin implications that we should be considering? Thanks.
Charles J. Meyers - Chief Operating Officer: Hey, Jonathan, it's Charles. I'll take that one. I think that – a couple things. Again, what we're seeing is our investment in pro serv is really a response to what we're seeing from our enterprise customers in terms of what they need to implement hybrid cloud effectively. And what we're finding is, is that they're at a stage where they are still examining how hybrid cloud fits, how they can implement it, which workloads they would want to consider moving into a hybrid cloud environment, which ones they may want to keep in a more traditional colocation setting, what workloads lend themselves well to a public cloud, interconnect, and then how to implement that over time, particularly in a highly distributed fashion globally for larger players. So that's the type of advice that they are looking for before they make commitments and execute plans on hybrid cloud implementation. And Nimbo was already actively engaged with customers of ours and with partners of ours like Microsoft in those types of discussions. And so we're very excited about the opportunity and in fact have gotten a ton of positive feedback from partners like Microsoft and existing customers about that capability. And so that's the essence of what they're doing and again it's early days. But we continue to be really optimistic about what that means for us and for our customers, as they look to implement hybrid cloud. In terms of our desire, I would say that the overall scale of the business is a couple things. We are – our objective here is not to grow a professional services firm for the purpose of growing our top-line, it is really to draw pull through and demand for Platform Equinix over time as a hybrid cloud enablement platform. And so we are going to do that kind of business and we'll do it at reasonable margins. They will certainly be lower than our services business, but the overall scale of the business will be relatively immaterial and not have a significant impact on the overall margin structure.
Jonathan Schildkraut - Evercore Partners, Inc. (Broker): All right. Thank you for taking the questions.
Charles J. Meyers - Chief Operating Officer: Sure.
Operator: Our next question comes from Michael Rollins with Citi. Your line is open.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Hi, good afternoon. Thanks for taking the question. First question I had was, if you could just share with us what the sequential currency headwind was in the fourth quarter from the average rate in the third quarter?
Keith D. Taylor - Chief Financial Officer: Yeah, the – so on a total basis, Michael, it's – the net exposure is $8.5 million on the top-line. Having said that, the currency hedges themselves offset a fairly meaty piece of that exposure, but overall, it's a net hit of $8.5 million.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): And, just secondly when you look at the flow through to revenue in the quarter, on a sequential base if you add back some currencies above the average of the last few quarters, would you say that this is a result of the stronger bookings and sales activity or is it some of the book-to-bill that you highlighted in the past catching up?
Keith D. Taylor - Chief Financial Officer: Michael, really it's a combination of all three things. I'd tell you, it's not only the fact that we're pushing more volume into the system, and as Steve alluded to, we had record gross and net bookings this quarter, effectively Americas second best quarter ever, and the other two regions, their best ever. If you combine that with churn being lower than our expectation, that's a great output to our revenue line, number one. And number two, the book-to-bill interval, so certainly there're some of that that bleeds into the results. And then the last piece, which is something that we've spent a little bit more energy on this year, relative to last year. We actually do more nonrecurring activities as well. I would tell you, as we look in this quarter, it's roughly just over – NRR is roughly 5% of our revenues, but relative to where we'd come from we do a little bit more, and so for those three reasons alone you see a nice step up in our activity.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): And one last question if I could. You're carrying a balance of cash, I think, you referenced it a little over $1.1 billion in the fourth quarter.
Keith D. Taylor - Chief Financial Officer: Yeah.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): If you take the average interest rate, multiply that against the $1.1 billion, if I'm calculating this correctly, it's almost $1 per share of pre-tax interest. How should we think about what kind of cash balance you're going to carry going forward and how to think about the cost of that cash balance? Thanks.
Keith D. Taylor - Chief Financial Officer: Yeah. It's a very good question. I think look, certainly, we went to the markets opportunistically at the end of November, or sorry in November. And we did that for a couple reasons. One, we felt it was a good time to go and refinance, we wanted to take out our 7% senior notes, we wanted to put a new term line in place. We also wanted to have a revolving line of credit. And that $1.5 billion facility between the term-loan and the line of credit is very, very cheap money for us, it's up 2%. If you think about the high yield that we did on a blended basis between 7% and 10%, it's a 5.52% cost of capital. All of that to say, as I said in my comments, our cost of funds today on a blended basis for all of our financings is 4.93%. So that's the first thing. The second thing I want to leave you with is the $1.1 million, as I said, we opportunistically went to market in November. It is not our expectation that we're going to carry that level of cash on a go-forward basis. And, suffice it to say when you think about the capital investment that we're going to be making this year and you add to that basically the dividends that we're going to be disbursing, plus perhaps some asset acquisitions, some land or some buildings, all of a sudden you can get a pretty good sense of what we're going to consume a fairly meaty piece of that $1.1 billion. And, therefore, as you roll forward in time beyond 2015, I would expect that you would see us either continue to consume cash from the balance sheet, as we generate it, but also go into our revolving line of credit. And then, as times permit we go back to the market and raise more debt to fund the future growth. And so, that's how we're sort of seeing it. I would tell you I don't think that you're going to see a lot of cash left on our balance sheet on a regular basis given the fact that we've now converted to a REIT.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Thanks very much.
Operator: Our next question comes from Colby Synesael with Cowen and Company. Your line is open.
Colby A. Synesael - Cowen and Company: Great. Thank you. You mentioned in your prepared remarks that you're seeing an uptick in larger footprint deals and I wanted to know how are you able to potentially dynamically adjust your own offer or investment in your facilities to continue to get what you would deem the proper return. And then the second question is, I noticed in your AFFO calculation, you changed how you account for installation of revenue adjustment, and I was wondering why you may have done that and is the AFFO formula you have out there now something we should consider to be the finalized version. And then just one point of clarification, you mentioned for example in the first quarter that you're observing $19 million in FX headwinds. How much of that is actually being covered by the hedge itself?
Charles J. Meyers - Chief Operating Officer: Thanks. Hey, Colby, this is Charles. I will take the first piece around large footprint, and then let Keith handle the other ones. As we've said consistently over the years our ecosystem centric strategy is very focused on putting the right customers with the right applications into the right assets and that really continues to be the case. But undoubtedly as we did comment in the script we're seeing an uptick in the requirements around the large footprint, particularly for cloud service providers who are looking to rapidly scale their business on a global basis. And that's – again we been – we've sort of always had that posture of, hey, there are large footprint deals that we believe are accretive to the overall ecosystem story that we will pursue and that we believe can sort of because of their ecosystem power, sort of support the right kind of long-term blended returns. And we are seeing those and winning that type of business and in terms of how we accommodate it, I think that and I would say in Asia and Europe we have typically sort of managed our facilities as some are blended facilities anyway with a combination of sort of small, medium, and large footprint deals going into those facilities. In U.S. it has been a little different. In that, there are specific assets where we are in a better position to accommodate large footprint at the right kind of price points with the right dynamics for customers. And we continue to have that capacity available to us and so we're looking at selectively putting those into – in the markets around the world and we are also looking to expand our capabilities and looking at our investment portfolio and plan to continue to put the right kind of capacity in the right places and looking at evolving the offer so that we can deploy essentially hybrid infrastructures that allow us to ebb and flow with the market demand and put the right mix of larger footprint and traditional premium retail into a market at once, and doing that in a way that we also are looking to sort of phase the capital more aggressively by really doing it as just in time as possible and that's another thing that our global designing and construction teams are actively looking at. So, those are the things that are going on right now, in terms of us being able to respond to that. We do see plenty of opportunity and we're going to be selective about that, because not every deal is something that we're going to chase. But the ones that we think are critical to winning in the cloud are things that we will pursue.
Keith D. Taylor - Chief Financial Officer: So, Colby, then on the other two questions, as it relates to AFFO, what I would say first and foremost is, I think we are – we are now firm on what our calculation is going to be on a go-forward basis. We feel good about – I mean, the biggest area that we're really focusing in was CapEx and making sure we got the recurring CapEx, consistent with how we think we should be measuring this metric. So we've proven that up, and I'll tell you that AFFO on a principle basis is firm. And so we'll continue review it, but I feel very, very comfortable with our current definition. As you can see by all the disclosures we have, we've done a very good reconciliation of what we include between the FFO and the AFFO, and we reconciled also from EBITDA to AFFO. So that's, that's what we feel comfortable with. And we'll tell you that the $810 million increase, the $810 million as I said currency is impacting that number by $43 million, interest based on the November financing, again that was an opportunistic financing, relative to our expectation that adds another $27 million. If we hadn't done that our number would have been looked more likely $880 million on a constant currency basis or roughly 16% up quarter-over-quarter. And then – going then back to the comment just on currencies. If we look at currencies, again we did some bridges in our presentation, and so, when you go to pages 16 and 17, you get a pretty good sense of how currency has impacted it. Suffice it to say, I don't have the exact number, but what we gave was in the press release, we told you the rates of exchange that we're using for our currencies. And embedded in that of course, if you take euro, for example, it's trading spot today is roughly $113 and we've got a blended rate of $120. And it's no different than what we experienced last quarter where basically spot was roughly $126 and we're guiding you at $132. And all that to say is that we are looking at our relatively big currency impact on a quarter-over-quarter basis. And so, as we sort of presented in our reconciliation, in our bridges, you will see absent – taking out currency, we're reporting revenues flat quarter-over-quarter, currency is having a 3 percentage – 3 growth point – I'm sorry, 3 points of growth impact on our Q1 results. And so we've now got – we've got this – the guidance range, we have got the – what we think is the size of the impact, and that should give you a good step forward in how to look at the business.
Colby A. Synesael - Cowen and Company: Great. Thank you.
Operator: Our next question comes from Jonathan Atkin with RBC Capital Markets. Your line is open.
Jonathan Atkin - RBC Capital Markets LLC: Thanks. So, I wanted to go back to the European situation and I just wondered how that M&A deal that's been proposed would affect you from a competitive standpoint given that it would create a clear new leader in the colo sector over there. And then just turning to your comments where you ended up Microsoft to NetApp, and I just wanted to get a sense about indirect channel and if you could quantify the contribution of the indirect channel today and then how large do you see that growing over time? And then finally just on the churn, it's been the lowest it's been for a while, and I wondered if that's sort of a sustainable level or how we should think about churn? Thank you.
Stephen M. Smith - President, Chief Executive Officer & Director: All right, Jon. Why don't I start, this is Steve, and then Keith or Charles you guys might want to give your opinion here on the European thing. I think I've stated – I tried to be clear in the first question that was asked about this, about where our priorities are for inorganic growth. And that's where the focus is. So, the combination that you're referring to over there, we're obviously have watched it, will watch it, are – those kinds of styles of companies have been on our gameboard for ever. Our interest is again back to what I said earlier which is to scale this platform globally to bolt more things on like Brazil and Dubai. We feel like the business that we're doing in Europe which is growing faster than both of those assets is doing exactly what we wanted it to do. If you'll remember when we went into Europe 2008, the IX Europe asset was the third largest player. I think, at the time Telecity if I remember correctly was number one, Interxion was number two. Five years later now with the global platform wrapped around our EMEA business, this business is growing two times as fast as our competitors. So, it's doing exactly what we wanted it to do and that's where our priority and focus is going to remain. And we'll compete with regional providers all over the world, I think, it will be no different as we look at this potential combined competitor.
Charles J. Meyers - Chief Operating Officer: Yeah. I guess, all I'd add Jonathan is that again we really operate primarily and compete primarily as a global platform. And so, in our view the combination wouldn't meaningfully change the competitive dynamic there, the assets that are in play in terms of how they meet the customers' needs are essentially the same in a post-combination world. And again most of the customers who really resonate with the Equinix value proposition are often looking for a global player. As we've talked about, and I think, highlighted here in the metrics in our business, a substantial portion of our revenue is from customers who are operating with us in a multi-region way. And so, we're going to continue to sell into those opportunities and we think we can compete very effectively with those companies either independently or in combination. And then as it relates to the platform players we're very excited about the momentum we're seeing in terms of platform players and the reach that they have into the market particularly from a cloud perspective as customers look at the hybrid cloud implementation and so that's one of the significant investments, we're making is putting channel partners and channel program investments sort of into the system on a global basis and we are seeing levels of engagement between ourselves and the sales teams of key partners like a NetApp, like a Microsoft, et cetera, as being a very meaningful way that we're going to gain access to the enterprise market. And then when you look at that – I mean, as we talked about at Analyst Day, it's a huge addressable market, several hundred thousand possible target customers for the services that we deliver and we're simply not going to reach those with our direct quota bearing head count and so it's critical that we invest in the programs and the channel sales resources to partner up with those types of players.
Keith D. Taylor - Chief Financial Officer: And then the third question, Jonathan, the...
Jonathan Atkin - RBC Capital Markets LLC: Churn.
Keith D. Taylor - Chief Financial Officer: It was churn, and so 1.9% that's the second quarter in a row where we've been below that threshold of 2%. Clearly, we love to be at this level on a continuous basis, but we think it's appropriate to say, we think it stabilized, this is an important metric that has stabilized, number one. Then number two we're guiding on a forward basis 2% to 2.5% recognizing, we think the average is going to be at the lower end of the range, as I said. But the other part is, the reason we give range is, as you can appreciate churn, it has variability to it, and we wanted to make sure that we share that with the investors and on the call here. So for all those reasons, I think, we feel very comfortable that we're seeing stabilization and as we sort of look forward, we feel good with our guidance there.
Stephen M. Smith - President, Chief Executive Officer & Director: Yeah, I guess, the only thing I would add is...
Jonathan Atkin - RBC Capital Markets LLC: Thank you.
Stephen M. Smith - President, Chief Executive Officer & Director: – what we always talked about is that the best protection, the best way to manage churn over time is to get the right business in the door to begin with, and I think we've been very disciplined about that and I think we're seeing the benefits of that. And there is some volatility in it, but we continue to see things very positively from the churn perspective.
Jonathan Atkin - RBC Capital Markets LLC: Thanks a lot.
Operator: Our next question comes from Mike McCormack with Jefferies. Your line is open.
Mike L. McCormack - Jefferies LLC: Hey, guys. Thanks. I guess just a quick follow-up on the churn side. Taking a longer term, Keith and Charles, given the wake of optimization, is there a way that we can sort of wind this thing or trend it lower or is just there a natural resistance that you guys bump up against. And then secondly, not to keep plugging away on inorganic things, but it sounds like domestically AT&T is interested in probably getting out of some of the data centers. Just trying to get a sense for what you guys think about that asset or the carrier assets that will be a good fit structurally, any thoughts around that would be great?
Charles J. Meyers - Chief Operating Officer: Yeah, Mike. I'll jump in and start on the first one. I don't know that we know exactly what the natural sort of frictional churn in our business would be, and I think, we're constantly – we're obviously very focused on continuing to reduce churn and make sure that there are no regrettable churn losses in our business. And candidly, there are very few today. For the most part, what we see is frictional churn associated with people optimizing platforms and footprints over time and resolved to a changing dynamic in their business. And so, I don't know that we could answer whether – certainly I think that we have the opportunity to continue to reduce it over time, but I think that the range that we've given you and kind of where within that range we expect to operate is our best current view. Over time, particularly as we scale the enterprise opportunity and if we're winning the kind of business that we expect to win around Performance Hub implementations, attached to Cloud Exchange as part of an overall hybrid cloud implementation, we believe that will be very sticky business, like much of the rest of what we offer today. And so, yes we would strive to be driving that lower. That increases customer lifetime value and creates long-term intrinsic value for the business. So we're going to – we would strive for that, but I think that the range that we've given is probably where we would be comfortable with providing right now until we learn more.
Mike L. McCormack - Jefferies LLC: Charles, I'm sorry. Is there a significant difference in the enterprise base with respect to MRR growth or MRR churn?
Charles J. Meyers - Chief Operating Officer: Well, I mean, I think that we are – right now we are seeing our logo – new logo wins are actually very focused on the enterprise, the bulk of our new logo wins are in the enterprise space. It was I believe our fastest growing bookings segment in the enterprise and so we are probably seeing that segment over index. It's probably easier for it to over index, as it's a bit smaller than the others, but that is certainly a sign of momentum. And then churn wise I would say to be determined, right, because these new implementations, these new enterprise implementations particularly Performance Hub is a new offering for us. Again, we believe based on what we're seeing because of how it leverages our network density and how it leverages our cloud density, we think they're going to be very sticky over time. And again the interconnection momentum we're seeing sort of indicates that. So that would be my comment on that.
Stephen M. Smith - President, Chief Executive Officer & Director: I think on your second question Mike, on the AT&T assets, yes, from time-to-time we look at opportunities like this, very frequently and very quickly we fall back to our priorities. It unlikely puts us into a new market where customers want us to go to extend the platform, if it's an interconnected asset, it might be of interest to us, if it's going to extend the cloud ecosystem, or allow us to prosecute enterprises better in some market would be interesting to us. But typically when you're looking at those older assets you're not really buying forward, you're more buying backwards and so not very often do we find an asset from those types of companies. But there are examples and you would know of them. There's examples in some of those companies that – particular assets that would be of interest to us.
Mike L. McCormack - Jefferies LLC: If they were to deemphasize that business, would it have any meaningful impact on industry dynamics, industry pricing here?
Stephen M. Smith - President, Chief Executive Officer & Director: You mean, being in the co-lo part of their business?
Mike L. McCormack - Jefferies LLC: If they start to get out of it, or they sell to somebody else, will that have an overall impact on the pricing environment?
Stephen M. Smith - President, Chief Executive Officer & Director: I don't think so, I mean, as you guys, you know we compete with a lot of carriers on that part of their business where they have co-lo assets in certain markets and I think if that share shifted somewhere, it wouldn't be a big impact on us.
Mike L. McCormack - Jefferies LLC: Okay. Thanks, guys.
Operator: Our final question comes from Amir Rozwadowski with Barclays. Your line is open.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much. Obviously we've spoken a bit about the foreign currency here and impact. And I was wondering if we could take it just from a different dynamic, I mean, as you look to build out the global platform, perhaps not even just from an inorganic perspective, but is there an opportunity here to leverage some of the near-term disruption in currency to accelerate some of the investments for building out certain assets in areas where your customer pull has really been driving you? And then a follow-up on that is from a capacity perspective, obviously we saw a couple of quarters ago, there was some rattling in the marketplace in terms of pricing and some builds on capacity. I would love to get an update in terms of where you're seeing sort of pricing trends right now and the capacity that you're seeing in the marketplace? Thank you very much.
Stephen M. Smith - President, Chief Executive Officer & Director: Well, why don't I take the first one, and I want to also supplement it with a comment just on margins as well. I think like anything, when the currencies, when our functional currency, which is USD, is strong, clearly it gives you an opportunity to look at initiatives. And from our perspective, because we're already investing quite handsomely across our portfolio and across the regions, I would tell you, it's not going to make us do anything radically different, but like anything when you look at it and you look at the decisions on when to put capital to work in a given market, clearly it can work to your advantage. And so whether it's a U.S. – sorry, whether it's the Canadian dollar or the Australian dollar, or for that matter the Singaporean dollar, to the extent that we can use it to our advantage, we certainly will. I think what's most important though is, if I step back though and just talk overall about our margins, which is something I really wanted to get out, because there has been a number of questions that we've received on that. When I take, when I look at 2015, and then we look forward and the impact that currency has had on our margins, I want to sort of just walk you all through something. First and foremost with the guidance that we have delivered, we said for the year we can do greater than $1.22 billion on EBITDA line. If I take you to 2014, we did $1.114 billion, but included in that number of course are the REIT costs. And the REIT cost, recognizing most of those are going to go away, I add $17 million, say – we spent $29 million in 2014, we're only going to spend $12 million in 2015.Therefore, on an adjusted basis, our margin is 46.3%. So what we've said is, just on the guidance that we've delivered, we said we can do greater than $1.22 billion, that's 46.4% margin. As we look forward, we've announced two things that we're going to do, and Charles has talked to one, which is investing in the channel which is $20 million and integrating ALOG which is $7 million. If I add those two things back that's 47.4% margin. But the other thing, currency, because we're a U.S. dollar denominated company, a lot of our costs reside in U.S. dollars. The impact of the currency affecting our revenues and our EBITDA, it's affecting our margin by another 90 basis points. So, all that to say is when I reconcile out 2015 relative to 2014, we see basically a 48.3% margin business with some discreet investments that we're making in channel and the one-off investment in ALOG. That relative to what we exited 2014, which is really an adjusted 46.3%. So, overall we feel that the business is performing well, currency, yes is working against a little bit today, but given our ability to reallocate our resources and invest in the right things for our future growth, we think it's the right investment decisions to make.
Keith D. Taylor - Chief Financial Officer: And then, I'll wrap up with a commentary on sort of overall pricing environment, supply/demand characteristics in the market. We tend to look at pricing in sort of two primary ways, really the most important being yield and our MRR per cab metrics. As you can see in our regional results, we saw strength across all three regions on a constant currency basis in our MRR per cab. So we continue to really benefit from how we're managing the business both in terms of entry price points on deals as well as – which is really driven by deal discipline, as well as some interconnection and then managing power densities effectively. And so those levers really have given us strong performance on a yield basis. The other dimension of pricing is really as I said entry level price points on deals and obviously the sort of supply demand characteristics in the market influence that heavily. And I guess what I would say is one, where we are – we've been very – continue to be very disciplined about the deals we are pursuing and pursuing those where we have a unique and differentiated value proposition and so continue to see firm pricing there. And even where there are – where we would want to selectively pursue, say larger footprint deals or deals where the competitive overlap with other players maybe higher. What we are seeing is, I would say a favorable balance in overall supply demand across many of our markets and a general stabilization in the pricing environment.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much for the incremental color.
Stephen M. Smith - President, Chief Executive Officer & Director: Sure.
Katrina Rymill - Vice President-Investor Relations: Thank you. That concludes our Q4 call. Thank you for joining us.